Operator: Thank you for standing by. This is the conference operator. Welcome to the Cameco Corporation Second Quarter 2017 Results Conference Call. As a reminder, all participants are in a listen-only mode and the conference is being recorded. After the presentation, there will be an opportunity to ask questions. [Operator Instructions] I would now like to turn the conference over to Rachelle Girard, Director-Investor Relations. Please go ahead, Ms. Girard.
Rachelle Girard: Thank you, operator, and good afternoon, everyone. Thanks for joining us. Welcome to Cameco’s conference call to discuss the second quarter financial results. With us today on the call are Tim Gitzel, President and CEO; Grant Isaac, Senior Vice President and CFO; Brian Reilly, Senior VP and Chief Operating Officer; Alice Wong, Senior VP and Chief Corporate Officer; and Sean Quinn, Senior VP, Chief Legal Officer and Corporate Secretary. Tim will begin with comments on our results and the industry. Then we’ll open it up for your questions. If you joined the conference call through our website event page, you will notice there will be slides displayed during the remarks portion of this call. These slides are also available for download in a PDF file called Conference Call Slides through the conference call link at cameco.com. Today’s conference call is open to all members of the investment community, including the media. During the Q&A session, please limit yourself to two questions and then return to the queue. For those on the webcast, if you have questions, please select the Submit a Question feature to submit your questions by email, and we will follow-up after the call. Please note that this conference call will include forward-looking information, which is based on a number of assumptions and actual results could differ materially. Please refer to our annual information form and MD&A for more information about the factors that could cause these different results and the assumptions we have made. With that, I will turn it over to Tim.
Tim Gitzel: Well, thank you, Rachelle, and welcome to everyone on the call today. We appreciate you taking the time to join us to discuss Cameco’s second quarter results. Before I get to our results, I want to take a brief moment to recognize our good friend and colleague Bob Steane, who retired on June 30 after 34 years of outstanding service to Cameco. On behalf of our Board of Directors and our entire team we want to thank Bob for his contributions and wish him all the very best in his retirement. Related to that, I’m very pleased to welcome Brian Reilly to Cameco’s Senior Executive Team in the role of Chief Operating Officer. Brian joined Cameco in 2011 as Managing Director of Cameco Australia, where he was responsible for the Kintyre and Yerleri projects and a substantial exploration program. I have known Brian for over 20 years and worked with him for most of those and I know that he’ll be a great addition to our executive team. Brian is with us on the call today, his first in his new role as Chief Operating Officer. Alright, let me start today by saying that we are very pleased to announce that we have settled our tax dispute with the United States Internal Revenue Service and as we expected the financial impact was not material. Just to remind you our potential exposure based on the adjustments proposed by the IRS for this period was a tax expense of $122 million. By this settlement we were required to pay about $122,000 to resolve the dispute related to the 2009 through 2012 tax years. We are encouraged by this settlement as we believe it confirms from an IRS perspective, our view that our structure and transfer pricing arrangements are appropriate. Turning to our Q2 results. Our results were impacted negatively by two items, neither of which is reflective of the strength of our core business. The first resulted from a change in corporate tax rates in Saskatchewan, which is actually good news for us, as it was a decrease in rates, which means lower taxes going forward. However, the change caused us to reduce the deferred tax asset on our balance sheet by about CAD 24 million in the quarter. The reduction resulted in a one-time expense in the quarter. As a result, we now expect a full year tax expense on an adjusted net earnings basis of CAD 10 million to CAD 20 million, where previously we had expected a recovery of CAD 10 million to CAD 20 million. The other item is related to NuChem’s inventory. We recorded a write-down of CAD 10 million in Q2 to reflect weaker uranium prices. Keep in mind, neither of these items impacts cash, but together they reduced earnings by about CAD 0.08 per share and due to the nature of the expenses, we could not adjust them out. That said, Cameco remains a financially stable company generating strong cash flows. However, today we continue to face difficult market conditions. The average uranium spot price year-to-date is 13% below the annual average for 2016, which if you recall was already among the most challenging markets we have faced. So clearly those challenges continue. The outlook we provided at the beginning of the year reflected both the low uranium prices and the effect of the actions we have taken to address them. And although we have made some updates to that outlook, it did indicate that adjusted net earnings for 2017 are expected to be weaker than the CAD 0.36 per share we reported in 2016. However, as I said we continue to generate strong cash flows. We expect cash from operations in 2017 to be higher than the CAD 312 million reported in 2016. The increases result of the progress we have made in decreasing our operating, general and administration and exploration costs, as well as a reduction in our purchasing activity, which results in less cash tied up in inventory. In addition, we have pulled back our capital expenditures by almost 20% since last year, which has a positive impact on free cash flow. So some weaker quarterly results were anticipated. They reflect a very deliberate strategy to strengthen the company in the long-term. And that strategy is one off discipline. We have reduced supply, avoided selling into a weak spot market, resisted locking in long-term commitments at today’s low prices and of course, we have significantly reduced costs. We accept that these actions have a cost in the short term, in some cases adversely affecting results. But they are the right things to do and they position us well to deliver increased shareholder value over the long-term no matter what the market conditions and that is our objective. Looking at our core uranium business, performance was strong in Q2. Our deliveries were in line with the guidance we provided in Q1. Our realized price was higher than the outlook we had provided. During the quarter, the exchange rate on our sales averaged $1 for CAD 1.35 versus the assumption used in our outlook of CAD 1.30. In the third quarter, we expect higher delivery volumes than Q2, however, due to the contracts we expect to make deliveries under, we expect to realize price to be the weakest for the year. Taken together with our expectation for an annual average realized price of $49 per pound, the math would imply the price for Q4 deliveries will be higher than the annual average. Of course the actual results will depend on exchange rates and uranium market prices. Also note that similar to the past several years, we expect the higher proportion of annual deliveries to fall in the fourth quarter. Cash flows will follow a similar pattern to deliveries. Once again our cost profile reflects a maturing Tier 1 strategy and shows the positive impact of our cost cutting measures. Average unit cost of sales in our uranium segment including depreciation and amortization was down 26% for the quarter and 15% for the first six months compared to the same periods last year. Our cash production costs are down 15% compared to Q2 last year, and 23% over the first six months. However, our unit cost of production can vary significantly from quarter-to-quarter depending on production volumes. In the third quarter, we expect unit cost of production to be significantly higher than in the first two quarters due to the implementation of a mandatory summer vacation period followed by planned maintenance shut down at our Northern Saskatchewan operations. Despite this fluctuation in production costs, we continue to expect the average unit cost of sales including depreciation and amortization to between CAD 36 and CAD 38 per pound, a reduction of about 5% to 10% from 2016. Direct admin costs were down about 27% compared to Q2 of last year, and are down 28% for the first six months. On the operational front, performance has been solid and production is on track for the year. As noted earlier, we have implemented a six-week summer shutdown in northern Saskatchewan, so you can expect lower production and higher unit production costs in the third quarter. This is one of those changes I’ve referred to earlier that can have a negative impact in the short-term, but over the long-term, is beneficial. Beyond the financial and operational updates, there are a few other items I should touch on today. During the second quarter, we announced a 10-year extension of our exclusive fuel supply arrangement with Bruce Power. The deal is worth about CAD 2 billion in revenue through 2030, with price terms which further extend the protection under our contract portfolio. They are consistent with our contracting strategy, which is to maximize realized price, while reducing volatility of future earnings and cash flow by including mechanisms to protect us when the market price declines and allows us to benefit when prices go up. With respect to the CRA case, we recently received the 2011 transfer pricing penalty of CAD 78 million, although we disagree with this penalty, we’re required to pay CAD 39 million in cash while the matter is in dispute. This payment will show up in our Q3 MD&A. In terms of the trial, I’m happy to say that both sides finished presenting evidence earlier this month and final arguments are scheduled for September. The case will then be in the judge’s hands and we expect to have a decision six to 18 months later. On the TEPCO file, the period of good-faith negotiations has ended, and the arbitration process is underway. As with our previous arbitration case, which took about 30 months to resolve in our favor, we expect this could take some time. In both the CRA and TEPCO cases, we remain confident in our position and we expect favorable outcomes. Turning to the uranium market, I would note there has been little change to our outlook for the near to medium term. The market continues to be driven by sentiment. During the second quarter, geopolitics created some additional uncertainty. In South Korea, a new President was elected on a platform that included a plan to phase out nuclear power in that country. And in France, the newly elected President indicated he will stick with the previous government’s plan to reduce reliance on nuclear power, as usual it’s not clear how these political promises will be implemented. These are long-term plans with timelines that will require the agreement and support of politicians yet to be elected in the future. It’s also difficult to imagine how these policies can be implemented without destabilizing electricity grids or abandoning commitments made under climate change initiatives. Looking at the positive developments on the demand side, there is good news out of Japan where five reactors are now delivering clean power to the grid. Last week, a district court denied an injunction seeking to block operation of Shikoku's Ikata 3 reactor. This spring Kansai Electric successfully restarted Takahama units 3 and 4. Immediately following the restarts, Kansai announced a decrease in electricity rates made possible by lower fuel cost compared to thermal power generation. Kansai also has regulatory approval to restart its OE units 3 and 4 and hopes to have all approvals necessary to restart the units later this year. And Kyushu Electric has announced that it expects to restart its Genkai units 3 and 4 later this year. This would bring Japan’s operating reactor total to nine, and build momentum for more restarts. On the supply side, there is no secret that some uranium producers are experiencing serious financial difficulties and are struggling to re-capitalize in order to survive. The impact of their financial difficulties from a supply point of view is not entirely clear, but it does demonstrate that supply is vulnerable in this market. With this mix of sentiment, it won’t surprise you to hear me say that we continue to be cautiously optimistic, and are focused on making the changes necessary to assure Cameco’s long-term success. Global population is on the rise and with the world’s need for safe, clean, reliable, baseload electricity, nuclear remains an important part of the mix. Today, the good news is that there are 57 reactors under construction, the majority of which could be online over the next three years, if the start-ups occur as planned. Growth in reactor construction will translate to increased uranium consumption. However, we operate in a business where progress is not measured in weeks or quarters, but in years, and as I said earlier, that’s how we manage our business for the long-term. So, while we are required to report quarterly, our decisions are driven by the goal of increasing long-term shareholder value. For us, that means focusing on our strategy to produce from our Tier-1 assets, those that are lowest cost, and provide us with the most value. Our financial objective is to maximize cash flow, while maintaining our investment grade rating, so that we can self-manage risk, risks like a market that remains lower for longer, litigation risk related to our CRE and TEPCO disputes, and refinancing risk. Ultimately, our goal is to remain competitive and position the company to maintain exposure to the rewards that will come from having uncommitted low-cost supply to deliver into a strengthening market. We can’t control the timing of a market recovery, but we are taking actions on the things we can control, like ensuring that we are as streamlined and as efficient as possible, responsibly managing our production inventory and purchases, protecting and extending the value of our contract portfolio, and maintaining our investment grade rating. All to ensure that we’re ready when the market calls for more uranium. So thanks again for joining us today, and with that I’ll turn it back over to the operator.
Operator: Thank you. We’ll now begin the question-and-answer session. In the interest of time, we ask you to limit your questions to one with one supplemental. If you have additional questions, you’re welcome to rejoin the queue. [Operator Instructions] The first question is from Ralph Profiti of Eight Capital. Please go ahead.
Ralph Profiti: Hi, everyone. Thanks for taking my question. Tim, how much – just thinking how much of a positive to the CRA case the IRS decision is and other than the amounts and years in dispute, can the main difference in the two cases still be considered one of governance?
Tim Gitzel: [Audio gap] I’m knocked down. And I think it confirms from an IRS perspective and let me say that our view that our structure and transfer pricing arrangements are appropriate as we say. So that’s as far as we can go on that, we’re certainly pleased with the decision and just on the CRA piece we’re happy to see the evidence all in. I’m looking at Sean Quinn here, the evidence is in on that. We’ve got the final arguments the second week of September in Toronto and then that one’s done and into the hands of the judge.
Ralph Profiti: Yeah.
Tim Gitzel: So, like I say, Ralph, we’re taking them one at a time. We’re happy with this IRS decision, CRA to come.
Ralph Profiti: Okay. Yeah. As a follow-up, if I may your market update, Tim.
Tim Gitzel: Yeah.
Ralph Profiti: Talked about fully receiving 2016 primary and secondary production data. And I’m just wondering how much of a contributor was enricher underfeeding last year? And what’s your outlook for that number in the near future, increase, decrease or remain the same?
Tim Gitzel: Yeah. I’m not sure we have a really precise numbers on that enricher underfeeding piece. We know URENCO is doing it, we know the Russian’s are doing it, I assume AREVA is probably doing it as well, just because the enrichment market is as bad or worse than the uranium market and they like to keep those centrifuges spinning. So I don’t know if you said in the range of 15 million pound something like that wouldn’t – we wouldn’t blink at that. So we think it’s flat for the moment and hopefully as the market improves and the Japanese units start coming back on requiring enrichment, again that’ll – that will start to go down and that’s the way we see it.
Ralph Profiti: Okay. Always helpful. Thank you very much.
Tim Gitzel: Thank you, Ralph.
Operator: The next question is from Orest Wowkodaw of Scotia Bank. Please go ahead.
Orest Wowkodaw: Hi. Good morning. I’m sorry, unfortunately, there was some telephone difficulties just Tim in terms of your last answer to Ralph’s question. And just expanding from that, can you walk us through kind of in layman’s terms, how the IRS case is similar and different than the CRA case?
Tim Gitzel: Yeah. Well, I’m not going to get too much into it. Maybe I’ll just get Sean to say a few words about that, we’re very cautious on this, so obviously this is an IRS decision, we’re happy about it, we were looking at some fairly significant exposure there and ended up paying $122,000 to settle it. But Sean, I’ll see how far you want to go with this, because we’re very cautious on this.
Sean Quinn: Yeah. I think if you looking at our MD&A, we have a little bit of commentary on what the IRS is looking at, they’re obviously focused on the U.S. implications of how we sell uranium. The CRA is looking at from a Canadian perspective and that’s really about as far as we can go in this forum.
Tim Gitzel: So Orest, I would just say if you missed it. I think what we say is that, it can further decision from the IRS confirms from the IRS perspective our view that our structure and our transfer pricing arrangements are appropriate and so that’s where we’re at with this one.
Orest Wowkodaw: Okay. Thank you. And then just as a follow-up. You mentioned earlier in terms of some of the demand changes out there with respect to or potentially with respect to South Korea and France. Can you give us a sense of how exposed you would be to those markets, based on your current contract book?
Tim Gitzel: Yeah. It’s not something that worries us in the near-term. We do obviously have sales into Korea and France both. No change in the near-term as far as that goes. They’re talking long-term. Governments are going to change, once if not more than that while this goes on. So, really we’re not looking with respect to our contract portfolio to the length of time it runs out any affect on our book at all.
Orest Wowkodaw: I see. Thank you very much.
Tim Gitzel: Thank you.
Operator: The next question is from Andrew Wong with RBC Capital Markets. Please go ahead.
Andrew Wong: Hi. Thanks for having me on the call. So, looks like when I was looking through the MD&A, the contracted volumes increased for the quarter. But there wasn’t really a much change in the price sensitivity table. So, does that mean that volumes are contracted at similar terms to your existing contracts and I mean what does that tell us about the contract market is? Does it tell us that utilities are interested given with your current terms?
Tim Gitzel: Hi, Andrew. It’s Tim. I’m going to pass it over to Grant to respond to that one.
Grant Isaac: Yeah. Andrew, thanks for the question. We’ve been very disciplined on the type of business that we’re willing to write in this market. You’ve heard us say that there are a number of factors that go in. The number one, of course, being we think that these are unsustainably low prices. So, we’re not really interested in locking in today’s prices out on the forward curve. So, we’ve been looking for business that gives us market related exposure, business that is consistent with our regional diversification, business that is consistent with our view on top customers and the Bruce Power contract would be a perfectly good example of that. But I think your general comment that it is reflective of the type of deals already in our portfolio that’s true and we’ve taken a pass on ones that are not reflective, or were not consistent with that portfolio strategy. So we have opportunities occasionally with some of the utilities, who want us in their portfolio and they are willing to do some business on those terms and others, we simply have walked on, either pursued to be responsive, but not with an effort to chase down the market or simply not responded. So we continue to be disciplined in this market and we can be because of our existing contract portfolio.
Andrew Wong: Okay. That’s helpful. And maybe just highlight a little bit, why would a utility be interested in locking in terms that looks like it’s higher than where the market would be and how come we don’t see it on the benchmarks?
Grant Isaac: Well, the utilities will have a set of factors that are driving them as well, so they will want a diversified portfolio, they’ll want reliable supplies, [indiscernible] supply, as well as price sensitive supplies. So occasionally, those two lines cross in the interest of a primary producer in this market will intersect with the interest of a fuel buyer. And when those – when you find those moments, we’ll have opportunities to layer-in business. So that happens occasionally, maybe you have a fuel buyer, who used their portfolio over weighted to sources other than maybe Canadian supply for example, that might be a good opportunity for us. Not all the business is through our feeds that are put out in the market, some are extensions of existing contracts and so that’s not hitting the benchmark directly or hitting it afterwards. And so there is just a bit of a price reporting issue. It is a fact that we’re in a an industry that it doesn’t have a truly discovered price, we have neither the volume or the frequency, so we have a reported price, and there is a bit of a lag and a bit of methodology for coming up with those numbers. We just look at what’s required for us to part with our uranium out into the future. I listed those factors earlier and occasionally we find utilities that want the safety and security of our supply, and they’re willing to agree to those terms.
Andrew Wong: That’s great. Thank you very much.
Tim Gitzel: Thanks, Andrew.
Operator: The next question is from Fai Lee with Odlum Brown. Please go ahead.
Fai Lee: Hi. Thanks. Tim, I was just wondering if you could just remind us where you are on the TEPCO dispute process, and what are the next steps, I guess, I’m just wondering about the timing when you actually go to finding arbitration?
Tim Gitzel: Yeah, Fai, thanks. We – we went through the good faith discussions, negotiations and it didn’t result in any conclusions there. So, we are off to – we are off to arbitration now, and so the – the parties need to pick their arbitrators, and the third one has to be picked, and then it moves from there. So, we’re firmly into the arbitration process, and expect it’s going to run out probably for – it could run up for a couple of years if our last foray into this gives any indication.
Fai Lee: Okay. And regardless CRA dispute, you’ve outlined the court process going to trial and your timing around expected decision. But, is it possible that you could come to a out-of-court settlement, like you did with the IRS or just right now given the procedure the CRA, you just have to go through this process with the court.
Tim Gitzel: Fai – Fai it’s possible at any time to come to a settlement. Right now, we’re in as I see the final throes of the court case, and the lawyers are going to make their final arguments in mid-September, and then we’ll wait for a decision from the judge, but I mean that is a possibility at any time.
Fai Lee: Okay. Thank you.
Tim Gitzel: Thank you.
Operator: The next question is from Chelsea Laskowski of MBC Radio. Please go ahead.
Chelsea Laskowski: Hi, there. You can hear me, all right, I assume.
Tim Gitzel: Yeah, I can you hear you, Chelsea. No problem.
Chelsea Laskowski: Okay. Perfect. So I wanted to touch on the summer shutdown that’s taking place at McArthur and I know it is one of the – it is the biggest operation, so far is there anything that the company feels it’s learned from having such a large scale shutdown at such an important operation?
Tim Gitzel: Well, Chelsea, I would have to say it’s gone exceptionally well for us. It’s something we haven’t tried recently and we go into things like that a bit tentative, because there is a lot of organization that has going to it, it’s gone quite well. Now we’ll see, we – there often will be starting up again in the fall. We’ll see how that goes. We hope it will go very smoothly and so we’ve got the vacation shutdown for one month and then there is a maintenance shutdown for about two weeks, so right now it’s going very smoothly and hopefully, we can come out of it at the end of the summer just as smoothly.
Chelsea Laskowski: And is there anything that you would improve in the future just from what you’ve seen so far?
Tim Gitzel: Not that I can think of it, looking at Brian Reilly, but it’s gone very well. I was just up there last week, very quiet on the site. We’ve got a skeleton crew as we call it, just looking after things. The weather has been very good up there and so we’re hoping people get some good vacation and good rest. They’re working hard because we’re going to need them to work hard when they come back in August.
Chelsea Laskowski: All right. Perfect. Thanks.
Tim Gitzel: Thank you.
Operator: The next question is from Jim Ostroff of Platts. Please go ahead.
Jim Ostroff: Yes, hi Tim. It’s Jim Ostroff here, two very quick things. When did McArthur shut and the other is, I should say you previously had mentioned that Cameco was seeking buyers for the U.S. properties, is there anything more you can provide about that?
Tim Gitzel: So, Jim the mines and it’s both Key Lake and McArthur that went down, it was both it was around the 1st of July, we kind of picked the month of July as the vacation shut and it might not have been that day, dependent on when people shifts ended so that’s when it was. With respect to the U.S. assets, I don’t have anything new to report on that. We were looking at whether there was any interest out there, we’ve had some but nothing new to report on that Jim.
Jim Ostroff: Just very quickly with respect to Key Lake and McArthur, if all goes as planned, you expect them to begin to resume operation about when?
Tim Gitzel: Probably mid August, we’ve got about four-week vacation shutdown period.
Jim Ostroff: Right.
Tim Gitzel: And then, there is a maintenance shutdown as well where they do the maintenance, so I think Key Lake, if I remember correctly, Key Lake is August 24 and McArthur is a few days about August 14, a few days earlier, so that’s when we’re expecting that to happen.
Jim Ostroff: Thank you very much.
Tim Gitzel: Thanks, Jim.
Operator: [Operator Instructions] The next question comes from Andrew Wong with RBC Capital Markets. Please go ahead.
Andrew Wong: Hey, guys, I just had a follow-up, actually around the CapEx, could you provide a little bit more details on the lower CapEx guidance for the year and how does that effect the guidance that you guys have out there for future years? Thanks.
Tim Gitzel: Hi, Andrew. It’s Tim. I think we’re down by about CAD 20 million for this year, I’d have to look over to Grant or Brian. I think it’s just, we looked at our CapEx numbers and Brian do you have the details, go ahead.
Brian Reilly: So the actual – that from 2016 was $270 million, we reduced that in the 2017 plan to CAD 190 million and after further review over the past six months we’re projecting a CAD 175 million. So that’s just – it’s a reflection of our team, looking at all costs across the organization and we think we can continue to run the business with capital expenditures of CAD 175 million.
Andrew Wong: Okay. Because I think from my recall looking at other like the annual reports and something, I think next year and the year after CapEx is around CAD 200 million, CAD 250 million, does that mean like maybe there is – there’s room towards the downside for that spending or like does that affect 2018, 2019 in anyway or maybe catch up I don’t know, sorry.
Tim Gitzel: I could tell you Andrew, we’re always looking at as you see we tried it out some of the reductions across the sales production CapEx, everything is on the table, now just looking at for this year, I think we reduced for 2017, McArthur is down CAD 5 million, Cigar is down CAD 10 million, that gives you most of the those numbers. And going forward, is there potential, we’ll certainly be looking for it. I mean we’re looking at all of our CapEx to see whether we can stretch it out differ or not, preferably not spend. So, we’ll be looking hard at CapEx going forward.
Andrew Wong: Okay. Great. Thank you.
Tim Gitzel: Thank you.
Operator: This concludes today’s question-and-answer session. I would now like to turn the conference back over to the presenters for closing remarks.
Tim Gitzel: Well. Thank you very much, operator. And with that, I just want to say thanks to everybody, who was on the call today. We appreciate your interest and support. Just to let you know, we are working through this tough market and it’s tough and we are just trying to position the company to benefit from the future when we know additional uranium is going to be required. So thanks for joining us today. Have a nice day, and have a great summer. Thanks.
Operator: This concludes today’s conference call. You may now disconnect your lines. Thank you for participating and have a pleasant day.